Robin Watson: Good morning, everyone, and thank you for joining our 2020 results presentation. I hope you and your families are well in what continues to be a difficult, challenging period for us all, and we look forward to meeting you again in person when circumstances allow. As always, our CFO, David Kemp, will take you through our financial performance and I'll bookend David's presentation by focusing on 2 primary areas.  Firstly, looking back in 2020 and the year just gone by, recognizing the resilience our business has demonstrated through our people and our client delivery and financially, how we've responded robustly in the face of significant challenge and how our strategy has put us in a better position for the future than many of our competitors.  Secondly, I'll cover our Future Fit program designed to accelerate our strategy and strengthen our position as a sustainable investment proposition. I'll also cover what we're seeing in terms of our market evolution, the work we're winning and the practical steps we are taking to remain ahead. This includes significant advancement in our sustainability program, not only in how we are operating as a business, but also how we're supporting clients as we all transition to a cleaner, more sustainable future.  I think we can all agree, 2020 has been a year like no other. I take great pride in the way our people responded and are still responding to the challenge, focusing on delivering for our clients, supporting our communities and looking out for each other's well-being. Our strategy has enabled us to come through an exceptionally challenging year in good shape. Benefiting from the breadth of our end market exposure, we've seen relative resilience in around 65% of our end markets. Our ability to leverage our asset-light model has been key. And we took early and decisive action to protect the balance sheet, margins and cash flow.  By improving utilization and reducing overheads, we've successfully protected margins to deliver an EBITDA of $630 million at a margin of 8.3%, down just 0.3% on 2019. We also made excellent progress on portfolio optimization and reduced net debt by $410 million. We're very pleased to be approaching global resolution on the legacy investigations, which predominantly were related to the use of agents in Foster Wheeler. This will enable us to draw a line under one of the final legacy challenges of the Amec Foster Wheeler transaction. Looking ahead, short-term headwinds in some markets are expected to endure in 2021, but I'm really encouraged by the evolution of our order book, in line with our strategic positioning with an increasing proportion from lower-risk, higher-margin consultancy work.  As we look to the future, we all recognize the changes affecting our world. We're acutely aware of the impact of COVID-19, the changing energy landscape, a cleaner global agenda and the speed of digitization. Our common purpose is to unlock solutions to the world's most critical challenges by providing consulting and engineering solutions across energy and the built environment. Today, I'll talk to you about Future Fit, our tactical program aligned with a purpose and designed to accelerate the delivery of our strategic objective to be a premium, differentiated, high-margin business that delivers exceptional returns for our stakeholders. Our values of care, commitment and courage continue to guide everything we do, the decisions we make, the results we achieve and the way people experience working at Wood.  In 2020, we demonstrated the benefits of our strategic end market broadening. But there's much more potential for us. Future Fit is fundamental to our future prosperity and a key part of our growth story. And I'll be sharing a bit more about it later in the presentation. The fundamental drivers of our strategy and focus across the Future Fit program have been well-trailed but perhaps worth restating. We started by considering the mega trends of energy transition, sustainable infrastructure and technology and digitization and its impact on future skills. We then identified the critical challenges facing the world across our own broad energy and built environment markets.  To bring all of this together, we illustrate here the interrelationships between the trends, the markets and the solutions we offer. And we've worked diligently to gain an early leadership position in our delivery, where we engineer solutions for a net zero future, including decarbonization and conventional energy, renewables and low-carbon fuel systems. We enable more sustainable and resilient living through our work in remediation and restoration, mobility and transportation. And we create future-ready operating models as we work with customers to optimize asset performance and digital innovation.  We've refined our organizational design to deliver these critical solutions by pivoting to an operating model of 3 service-defined global business units of Consulting, Projects and Operations. Our capabilities span the entire life cycle from planning through design, build, operate and repurpose. This new model reinforces our ability in responding to clients' needs by removing internal barriers and complexities, enabling us to grow in the markets where we're differentiated by our solutions and capabilities. The clarity and simplicity of our more efficient model underpins our strategic delivery and the next steps of our Future Fit program.  I'll cover this more later in the presentation. But now I'll hand over to David to take you through our 2020 financial performance.
David Kemp: Thank you, Robin, and good morning, everyone. Overall, our results reflect the benefits of our successful end market broadening, together with our focus on reducing cost, protecting the balance sheet and generating strong cash flow.  Revenue of $7.6 billion was down 20%. Over 2/3 of the reduction was in conventional energy markets, which were very challenging. This was partly offset by strength in the built environment, growth in renewables revenue, which doubled to $520 million and relatively robust revenue in process and chemicals. We delivered EBITDA of $630 million and operating profit of $214 million. Strong operational delivery in most of our business, together with our ability to leverage our asset-light model, has been key to protecting margins in a difficult environment. We took early and decisive action on cost, improving operational utilization and reducing overheads by over $230 million in response to lower activity. EBITDA margin was down only 0.3% on 2019.  Looking at performance on a like-for-like basis. We delivered very strong margin improvement in 2 of our 3 business units. In the Americas, lower revenues largely reflected market conditions in conventional energy, especially in U.S. shale. This was partially offset by relative strength in capital projects in process and chemicals and higher renewables activity in solar and wind. EBITDA margin was significantly down on 2019 due to operational challenges and delayed delivery on a small portfolio of energy projects in our process and energy business. Results in process and energy are $50 million lower than 2019. The delayed projects are expected to complete in the first half of 2021.  In EAAA, revenues largely reflected lower activity in conventional energy and in process and chemicals. Despite this, EBITDA was broadly in line with 2019 due to excellent operational execution, good performance from our turbine activities, improved utilization and overhead reduction. Margin performance was very strong, up 210 basis points in 2019. In TCS, the reduction in revenue of around 16% reflects our decision not to pursue higher risk and lower margin construction contracts and the expected roll-off of automation work on TCO. There were also some project delays due to COVID 19. We benefit from strength in the built environment, which accounted for around 55% of activity.  EBITDA was in line with 2019 and margin improved significantly, benefiting from good execution, overhead reduction, which started in Q4 2019, and strong operational utilization. It's helpful to bridge 2019 to 2020 EBITDA to explain how we offset the impact of lower activity to protect margins. The earnings impact of lower volumes was partially mitigated by our focus on improving operational utilization. There was no material impact from pricing.  We further offset this with the early impact of our overhead cost savings of $230 million. These comprised a combination of temporary and more structural adjustments. And overall, we expect around 2/3 to endure into 2021. The EBITDA impact of businesses disposed, principally nuclear and industrial services, was $46 million. Despite the impact of overruns in ASA, we delivered EBITDA of $630 million, representing a margin of 8.3%, just 0.3% down on 2019.  Actions to protect the balance sheet are reflected in our 2020 cash performance. Cash generated preworking capital of $410 million is stated after provisions of $45 million. The impact of provisions is significantly lower than 2019 due to the lower impact from legacy items. Working capital was an outflow of $114 million due to the expected impact of the unwind of advanced payments of $277 million. This offset our strong focus on working capital management and impact of lower activity. Cash exceptionals of $115 million included reorganization cost of $80 million, which cover actions taken in response to market conditions to deliver $230 million of overhead savings.  Excellent progress on portfolio optimization delivered a net inflow from divestments of $455 million as we completed the disposal of industrial services, nuclear and our interest in TCT. Payments for CapEx and intangible assets reduced to $81 million as we've paused discretionary CapEx, including our ERP implementation. With continued market uncertainty and our prioritization of balance sheet strength, no dividend payments were made in 2020. Overall, we delivered a significant reduction in net debt to $1.01 billion from $1.22 billion in June 2020 and $1.42 billion in December 2019.  Looking at the working capital performance. On receivables and payables, lower activity, the impact of larger EPC contracts rolling off and our continued focus resulted in a large cash inflow. The other significant driver of our working capital performance was the expected unwind of advanced payments of $277 million. This principally related to a larger U.S. EPC contract and followed a significant inflow in 2019 but also reflected lower EPC awards.  An asset-light, cash-generative model underpins our investment case. In 2020, we saw a drag on cash generation from the impact of provision movements on legacy items, exceptional levels of advanced payment unwind and costs incurred as we took action in response to COVID and oil price volatility. Although EBITDA is at a depressed level, our underlying operating cash flow, excluding these legacy and temporary items, remained strong.  Throughout 2020, we have continued to assist the SFO in England in relation to the historical use of agents by Foster Wheeler. Discussions have progressed to the point where we believe it is likely we'll be able to reach a settlement. This brings progress on the SFO investigation in line with the investigations by the authorities in the U.S., Brazil and Scotland, which we provided $46 million for in 2019. We believe this will enable us to reach a global settlement. And we have provided a further $151 million in 2020. Discussions with all authorities are at an advanced stage. We expect a settlement with the Scottish authorities shortly with settlement of the SFO, U.S. and Brazilian investigations to follow in Q2.  Over the full provision, we expect around $70 million to be paid in 2021 with the remainder paid in installments over the next 3 years, 2022 to 2024. The investigation is mainly related to the use of agents over a period dating back several decades, before Foster Wheeler merged with Amec in 2014 and prior to our acquisition of AFW in 2017. A small part of the provision relates to a joint venture in the legacy PSN business. We are pleased to be in a position where we believe we are likely to be able to settle all the relevant matters, enabling us to draw a line under these legacy issues. Robin will talk more about our continuous improvement approach to ethics and compliance later.  For 2021, we've provided guidance for cash outflows in respect of provisions, working capital, exceptional items and CapEx. Provision movements related to projects, asbestos and disposed businesses have reduced significantly since 2019 as we close out legacy AFW items. With asbestos being an ongoing item and full year '20 benefiting from insurance proceeds inflow, we expect the movement for 2021 to be in the region of $60 million. Given our risk appetite and tendering policy, we're not forecasting more significant moves in advanced payments that would impact working capital. As a result, we currently expect working capital movements to be between neutral and a modest inflow in 2021.  We remain focused on reducing exceptional items. And this continues to be our medium-term expectation. In 2021, we expect around $30 million of costs to deliver our Future Fit program and onerous lease cost of $25 million, which we expect to reduce to 0 in 2024. As discussed earlier, we anticipate the first installment of $70 million relating to regulatory settlements with the remainder payable over the next 3 years. This is subject to approval by the relevant agencies. Lastly, our CapEx and intangible spend will increase to around $115 million as we invest in our Future Fit, digital and technology program and resume our ERP activity.  Our capital allocation policy is focused on maintaining a strong balance sheet. And this has been a priority in 2020. We remain committed to achieving our target leverage of 1.5x net debt-to-EBITDA on a pre-IFRS 16 basis. We have considerable levels of liquidity with undrawn facilities of over $1.7 billion. We recently extended our revolving credit facility to 2023. Net debt-to-EBITDA was 2.1x, which compares to our covenants at 3.5x. No dividends are proposed by the Board in respect of full year 2020. The decision to resume dividends is dependent on the Board's assessment of the longer-term impacts of COVID and end market stability.  The progression of our order book, down 17% at $6.5 billion, largely reflects macro conditions. Despite improving commodity prices in our Projects business, we have delays to larger conventional energy awards and the deferral of investment decisions in process and chemicals. This has been partly offset by strength in the built environment and robust activity in renewables. We have a well-diversified order book that is evolving in line with our risk appetite and strategic positioning.  We have a lower risk profile in order book as we work off larger EPC contracts, particularly in process and chemicals, and pursue new work that is in line with our measured risk appetite. Less than 2% of our order book is related to fixed price work, over $100 million, and 76% is reimbursable. In line with our strategic positioning, a larger portion of our order book is in our higher-margin Consulting business. We have seen encouraging growth in our Consulting backlog, including in the built environment, supporting our expectation of continued strength in built environment activity in 2021.  Although the enduring impacts of COVID-19 remain, we have seen some signs of markets stabilizing late in 2020. From subdued levels, we saw improving momentum in awards at the end of 2020 with order book up around 5% on November. And this momentum has carried through Q1 2021. As a short-cycle business, we have good near-term visibility with 67% of order book due to be levered in 2021. It's worth noting that with over 7,000 active contracts, we have no concentration risk on larger multiyear scopes. On a monthly basis, we book and execute a huge amount of work. And we expect a swift acceleration in those awards as markets recover.  Leveraging our asset-light model to focus on margin has been at the heart of our actions in 2020. And we have been successful in protecting margins just below the 2019 level, delivering improved margins in 2 of our 3 business units. Our medium-term ambition is to deliver margins of 9.6%, 100 basis points improvement on the 2019 level. Delivering on this objective will involve being in the right markets, winning work at the right margin that reflects the value that we add, delivering exceptional execution consistently and by being more efficient. This strategic goal very much in focus.  Near term in 2021, we are focused on margin improvement. We will continue to manage utilization in response to demand and we'll benefit from the evolution of our business mix between Consulting and Projects. We will also deliver efficiencies as part of our Future Fit program and expect to benefit from improved project execution. The reversal of temporary cost savings in 2020 will be offset by the structural full year benefit of actions taken.  Robin talked earlier about the first step in our Future Fit program to optimize our operating model, moving to 3 global business units: Consulting, Projects and Operations. This organizational change will be reflected in our business unit reporting for 2021. In practical terms, Consulting largely comprises what was TCS. And what was asset solutions will operate and report as 2 global service lines, Projects and Operations. We have restated our 2020 revenue, EBITDA and margin under the new organizational structure. And further details are included in the appendices. At the sub-business unit level, we'll provide analysis and commentary on performance across 4 end markets: renewables and other energy, process and chemicals, conventional energy and built environment. We believe this will further improve our disclosure and enable a top-down, market-based understanding of the drivers of our business.  Looking to 2021. Overall, we expect lower activity in 2021. Activity in Projects will be down, driven by the larger contracts in process and chemicals rolling off and new awards in process and chemicals and conventional energy being limited to smaller early stage scopes. This will be offset in part by resilience in renewables. In Consulting, we expect increased activity levels, driven by the continued strength in built environment activity, particularly in the U.S. Operations work will benefit from robust demand for OpEx work in conventional energy and growth in process and chemicals. Our financial objective in 2021 will be improving EBITDA margin.  In summary, our strategy and flexible asset-light business model has enabled us to come through a challenging year. The breadth of our end market exposure has resulted in relative revenue resilience in around 65% of our end markets. We took early and decisive action to successfully protect margins, deliver EBITDA of $630 million and reduce net debt by $410 million. Looking to 2021, we see lower activity overall, given market conditions, and we'll remain focused on actions to improve margins and cash flow.  I will now hand over to Robin.
Robin Watson: Before I come on to our strategy, let me touch on our progress to date with legacy investigations and our approach to ethics and compliance. As David shared earlier, our results include a provision reflecting our expectation of reaching a global agreement to resolve investigations, predominantly related to the use of agents by Foster Wheeler prior to its acquisition by Amec in 2014, together with one investigation around a joint venture in the legacy PSN business. We're pleased to be approaching global resolution of these issues, and we anticipate a settlement with the Scottish authorities shortly, followed by settlement with all other authorities, including the SFO, in the second quarter. This allows us to draw a line under one of the final legacy challenges, having cooperated fully with the relevant agencies throughout their investigations and bringing them to a satisfactory conclusion.  Let me make one thing very clear. This is a legacy issue concerning cases which are historic and individuals who are no longer involved in the business. From a Wood perspective, ethics and compliance is part of our DNA. And that type of behavior will never be tolerated in the company. The executive team and Wood Board regard ethics and compliance as a fundamental cornerstone of who we are and how we work. Over the last 4 years, our focus has been to strengthen even further a very robust approach to ethics and compliance, including a clear and unambiguous code of conduct and culture, where corruption is not tolerated at any level, a strong tone from the top with Board to the executive leadership team and all the senior leaders communicating regularly on Wood's ethical program and culture.  Our Safety, Assurance and Business Ethics Committee is made up with 3 independent Board Directors and is attended by myself. We also have a blanket ban on the use of sales agents, unless required by the law, and strict due diligence on any entity engaging on our behalf with any government employee. Our risk-based training program on managing third-party risk and on corruption and on bribery more widely as well as a sustained education drive around the code of conduct. Integrity is our license to operate and therefore of paramount importance to the business. I am pleased we're putting these legacy issues behind us and moving forward with a focus on the future.  Our strategic direction, positioning and medium-term strategic priorities are well understood: attracting new work as the energy transition continues to gather pace and the world seek solutions for a more sustainable future; maximizing the opportunities in growth of core markets; continuing to maintain our focus on margin over revenue, balance risk and rewards as we optimize and standardize our service delivery model; and rationalizing our portfolio, disposing non-core assets and investing in our business. All of the above will ensure we leverage our differentiation to deliver stakeholder value.  As I mentioned earlier, Future Fit is an 18-month program to accelerate our strategy, which has our medium-term target at its core. The majority of the benefit of Future Fit will be in 2022, as David noted, and we expect to deliver around $40 million in-year benefits this year. There are 5 areas of focus: simplifying our market positioning and emphasizing our green-to-green life cycle of solutions to clients by reorganizing to 3 global business units; transforming our operating model to achieve global consistency, predictable execution outcomes; digitizing the way we work by employing solutions, which transform our delivery and increase in efficiency; and accelerating future skills development by investing in the skills which match our opportunities and accelerate employee development; and finally, unlocking growth by focusing on the most attractive markets where we're differentiated and will be rewarded for the value we create.  Future Fit is fundamental to our future prosperity and a key part of our growth story. And it's worth going into it in a bit more detail around the significant progress made in these areas. We've refined our organizational design, pivoting to an operating model of 3 service-defined global business units, Consulting, Projects and Operations, across energy and the built environment. As illustrated, we provide solutions which span the entire life cycle, from planning through design, build, operate and repurpose.  Consulting comes in at the front end, providing new solutions and responses to the mega trends. Our consultants validate investments, access requirements, deliver studies and offer expert sector advice. Consulting creates significant pull-through opportunities for our Projects capability once capital investment is secured. Our capability stretch from front-end engineering to detailed design, procurement, construction and project management. And then as Projects move from the CapEx development phase to the OpEx-driven Operations phase, our structure allows us to leverage our global client relationships. We support clients over the longer-term through partnership models to deliver operational efficiency, maintenance, modification and asset management solutions through to decommissioning. Our organizational design reinforces our agility in responding to clients' needs by removing internal barriers and complexities, allowing us to grow in markets where we're differentiated by our solutions and capabilities.  Our approach to organizational design is already delivering significant value. The creation of our global Consulting business was an important first milestone in the delivery of our strategy as we set out in our Capital Markets Day in 2019 to be a premium, differentiated, high-margin business. We took our step to better position our high-value Consulting capabilities into a more efficient, global and industry-leading offering. And as a result, it's delivered a significantly improved margin of over 12% in 2020. We're seeing strong growth in order book, up 20% on '19, and have good visibility in near-term opportunities in high-margin market and long-term growth opportunities in the energy transition and the significant sustainable infrastructure market.  We're investing in digitizing the way we work to transform delivery and increase efficiency. Our digital factory will accelerate the benefits of partnerships with leading technology businesses, including Microsoft, who we're collaborating with to enable clients to deliver their energy transition ambitions and sustainability commitments. It will also be a forum where our community of digital experts pilot ideas and elevate those which will improve our differentiation with clients.  Digitizing the way we work will enable commercial innovation focused on the value we create. And our approach in this is twofold. Firstly, our internal digital delivery is focused on driving efficiency and reducing risk. By embedding digital capability into client delivery, we can significantly reduce asset expenditure and have a number of live projects in this area. Secondly, we'll develop digital solutions to differentiate our offering. This includes solutions that support client sustainability goals, such as covenant watch scopes and emissions monitoring, decarbonization, smart urbanization and city planning.  Under the governance of an operating committee headed by a new COO role, our objective is to achieve best-in-class delivery throughout our business. We're focused on 3 main areas. Firstly, performing. This is about ensuring strong project governance and embedded standardized procedures for project delivery. As part of this, we're developing a universal engineering design system and investing in our project management academy. This has been an ongoing and actually has been largely successful focus area right across the company. But we have experienced gaps and issues of consistency of outcome and we also want to accelerate pace.  Secondly, improving. Our approach to operational excellence is one of continuous improvement, enhancing our project planning and execution as well as having a robust operations assurance. This approach makes sense to transforming our supply chain management to deliver efficiencies. And thirdly, innovating. We're leveraging trusted client relationships to drive innovative commercial models, which generate reward based on the value we create. Embedding digital delivery and tech-led solutions will also play a key role. I'm confident in our ability to further develop our operational excellence framework, and in particular to achieve global, consistent, predictable execution outcomes.  Future Fit is also about unlocking growth across energy and the built environment. To deliver a net zero future, the world needs consultants and engineers to create the technical solutions required. A key opportunity is helping the IOCs to transition into becoming IECs, international energy companies. This means delivering as clearly and efficiently as possible from their existing portfolio decarbonizing assets and helping them invest in new renewable sources of energy. We're already delivering and earning significant revenue from the energy transition. We're focusing our efforts in markets where we're differentiated and where we'll be rewarded for the value we bring.  This includes our existing growth areas where we already have a strong track record, having already delivered almost 150 carbon capture and storage studies. Few, if any, of our competitors have such a strong record in industrial decarbonization. Over 35 gigawatts of solar projects in the last 10.5 years, over 650 projects in wind, over 120 hydrogen units, thus also pioneering new solutions in blue, green and biohydrogen. We're also focusing on new growth areas, such as investigating the delivery of electric vehicle charging solutions for one of our major IOC customers, repurposing upstream assets for carbon storage or downstream assets for biofuel refining plants.  Turning to the built environment market. Rapid population expansion, rising urbanization and growing climate risks are putting built and natural environments under more pressure than ever before. This is creating a pressing need for improved infrastructure, cleaner industries, adapted environments and improved access to critical services, including water, power and waste sanitation. At Wood, we are helping to build a more resilient, sustainable and livable world. And this is evident of the breadth of our portfolio of work.  In the U.S., we've modeled and mapped the flood hazard risks of rivers covering 250,000 miles. We manage 5,000 remediation projects every year, delivering cleaner and protected environments. We carry out essential maintenance at over 1,500 kilometers of water infrastructure in Australia. And we complete over 200 rail planning and design projects each year. Our focus on minimizing the effect on the natural environment and consulting and designing sustainable urban habitats have been key in building our differentiated capability across the built and natural environment.  The diversity of our opportunity pipeline gives us confidence in our positioning for growth in the medium to longer term. Our factored pipeline has recovered to pre-COVID levels at around $12 billion, reflecting our successful strategic broadening. And we're seeing an increasing proportion of opportunities in the built environment, renewable and other energy and process and chemicals. Crucially, our win rate remains very strong. And we're very confident we're maintaining market share.  Turning a little bit to our core markets in some more detail. The outlook for renewables and other energy is positive. In the near term, we expect renewables to remain resilient and for momentum in early stage scopes in U.K. carbon capture and hydrogen projects to continue. We're seeing acceleration in the low-carbon strategies of many of our key oil major clients, which, combined with ongoing investment in renewable power and generation and a broader drive to net zero, will benefit longer-term growth. Projects work in process and chemicals has been impacted by deferrals of large investment decisions. And activity will be down in 2021 as large current EPC projects complete. This will be partly offset by resilience in life sciences work due to investment and expansion for vaccine development and supply chain resilience as well as robust operations activity.  In conventional energy, we've seen good momentum in modification and optimization awards. Projects activity will be lower as upstream awards are limited to smaller early stage scopes and midstream investment constraints continue. Looking further ahead, as the world unlocks and global demand improves, we expect to see an increase in activity, including an acceleration of asset decarbonization and optimization. Also, as oil majors pivot to lower carbon models, we expect to see an increase in new independent operators, which will open up asset management opportunities.  We enter 2021 with a larger order book in built environment, which will drive strong activity levels as demand for smart and resilient infrastructure continues to be supportive. Fiscal stimulus in response to COVID has a potential to bring significant growth opportunities in the medium term, supported by a shift to recognize that infrastructure spending can be an enabler to deliver climate and economic resilience. In summary, uncertainty around the ongoing effects of COVID are impacting investment decisions and creating short-term headwinds in some of our markets. However, the focus on building back better to accelerate net zero ambitions and develop infrastructure that's resilient to climate and economic events continues to provide us with significant growth opportunities longer term.  I'm focused on what we're delivering in terms of our strategy, but just as important is how we deliver it. Our goal is to maintain our leadership position in environment, social and governance matters and sustainability. In 2020, we committed to a set of targets aligned to the UN Sustainable Development Goals to measure performance against our sustainability strategy in key areas of inclusion and diversity, fair working practices and our impact in communities and the environment.  Our targets include: consistently maintaining top-quartile ESG investment ratings in our sector; reducing our Scope 1 and 2 carbon emissions by 40% by 2030 on our journey to net zero; doubling client support aligned to energy transition and a drive for sustainable infrastructure by 2030; and improving the gender balance with 40% female representation in senior leadership roles but at the same time frame; embedding fairer working practices through our business partnerships, including about 100% of our suppliers signed up to the principles of building responsibly by 2030; and finally, positively impacting communities by contributing $10 million worth of our global causes by 2030, reflecting the importance of our program. We continue to differentiate ourselves from our peers by embedding these targets in the bonus and long-term incentive plans of our leadership team.  There's no doubt at all that 2020 has been an incredibly challenging year, but one that's proven the resilience of our people, the strength of our strategy and the flexibility of our operating model. It's also allowed us to draw a line under one of the final phases of integration and legacy challenges post the AFW acquisition. We haven't just delivered a resilient performance in the face of difficult market conditions, we believe we've also come out of 2020 better positioned for the future than many of our competitors. We took early and decisive action to protect our balance sheet, margins and cash flow and our ability to leverage our asset-light model has been key.  Short-term headwinds in some markets are expected to endure in 2021. But our order book is demonstrating the benefits of our strategic position with an increased proportion from lower-risk, higher-margin consultancy work. We're committed to retaining our leadership position in our field of ESG matters and have also committed to a clear set of targets to measure the performance against our sustainability credentials. Finally, we're embarking on our Future Fit program to accelerate strategy, which will further transform our operating model to unlock our medium-term margin aspiration. In short, we've built resilience into the business by design and are moving our strategy forward with accelerating pace. Thank you.
Operator: [Operator Instructions]. Ladies and gentlemen, we will now take our first question. And the first question comes from Victoria McCulloch from RBC.
Victoria McCulloch: So a couple of questions from me. I guess, David, when you talked in January about execution exclusively being directed towards the ASA business to help fuel some of the process and energy contracts, which were being a bit more challenging due to weather or otherwise, how does the Future Fit reorganization help to address and prevent these sorts of issues? Or can it address or prevent these sorts of issues from happening going forward?
Robin Watson: Yes, I'll take that Victoria. Yes, no, over the course of 2020, as you can imagine, the disruption that COVID has caused on operational projects is not insignificant. We've highlighted these ones in particular. It's a small portfolio within our P&E business in the Americas, as you see. Between COVID disruption, it's just very practical disruption that you do get and also real freak weather conditions that relate specifically to the sites involved. These 2 things manifest themselves to disrupt the projects themselves and then productivity, delivery, these things were quite challenged within the year. As we saw that manifest in itself, Victoria, we decided to accelerate some reorg considerations that we have had anyway. We've made a lot of progress in some of the performing areas, as you say, we have an execution excellence program.  But we felt that there's still more work to be done just by the kind of outcomes we were experiencing. That's why we restructured the business. We actually implemented that restructure in operational terms at the early in Q4 last year, which we've obviously announced today and we've run the accounts to year-end in the old structure. We felt also there was a real track record of resilience within our EAAA business, which is a big -- a larger capital projects portfolio. So we saw the sense in pulling together, firstly, the capital projects to be a global proposition, one set of processes, procedures and structured around it, which I think is quite logical and intuitive.  And we've got another layer on top of it around the OpCom and introduced the Chief Operating Officer position. And Dave Stewart has taken up that role. Again, you've seen some excellent delivery from Dave over the last -- actually decades in my time with Dave. But over the last 3 years, the EAAA business has just been a much more consistent outcome business than ASA in general terms. So we felt the time was right to do it. We're very confident with the oversight we now have with a one concentrated project capability, operational capability and consultancy capability, operating globally is the right way to get the predictable outcomes that we need. We also felt in accelerating that change, to digitize, we need to standardize and distribute that complete consistency. And there were just 1 or 2 gaps that we felt were needed to be bridged.
Victoria McCulloch: That's really helpful. And you talked about seeing improvement in the back -- or certainly in your order book, sorry, in the fourth quarter and into the Q1. It would be really interesting to get a bit more color on -- is this in any way linked, do you think, to the oil price? Or is this just a progression of your greater transition into consultancy? Where should we be looking to see improvements for the remainder of the first half of the year?
Robin Watson: I think it's a good blend, Victoria, [indiscernible] thumbnail. From a consultancy perspective, we're certainly encouraged by what we see there. And it's a good range of work. There's carbon capture and storage work. We talked about Humber Zero. We've got a number of decarbonization studies ongoing. We're quite active in hydrogen studies again at the front end within consultancy. We've picked up some transportation work, which is again the benefit of our broader end markets. We talked about our solar work in Oman with Shell. And that's an owner's engineer proposition. So I think consultancy -- we're encouraged by what we're seeing there.  We're also encouraged in Operations. We've -- again, we've picked up some North Sea work. We mentioned Spirit late-life delivery work that we've got. We've got another MMO in the North Sea that we're about to announce. We've picked up Equinor. There's some good Equinor work we've picked up in the Norwegian sector of the North Sea. We've got Sasol work. So I think from an Operations perspective, we're quite encouraged. A chunk of that is in our conventional energy business. And probably, whilst there are some wins in Projects, an ethylene EPC project in China that we trailed and we've got GSK project partner work that we've trailed, I think Projects is the area where we are coming into the year a bit behind where we would normally be.  And that's, we think, quite logical to where investment decisions are, Victoria, not just oil and conventional markets. But I think just investment generally is still -- we're still seeing some headwinds in our project portfolio. But I think across the piece, we just feel a bit more positive as we've come through Q4 and in Q1. One swallow doesn't make a summer. But we have picked up work January and February and we're quite pleased with that. We do think there will still be some headwinds. And we do think projects -- manifesting projects that are material in 2021 will remain one of the challenges that we face.
David Kemp: Let me give the numbers around that, Victoria, just to bridge to, I guess, some of the comments we made in outlook. As you saw from the statement, our backlog was down 17% versus 2019. But as you'll also pick from out trading update, we gave out our backlog as at end of November. And that grew 5% during December. And as Robin said, we've continued to see that similar momentum in January and February. And we're encouraged also by the mix of it, which plays into our margin outlook. We now have a greater proportion in high-margin consultancy, as Robin said, particularly in the built environment. And so that's a market, as we look forward to 2021, we expect to benefit.  Again, just giving the thoughts around 2021 activity. We flagged about 67% of our backlog related to 2021, so about $4.3 billion. Normally, at the end of the year, we have about 60% revenue coverage in a normal year. That would be what we'd expect. And again, as we look forward to 2021 revenues, as Robin mentioned, it's project activity we expect to be lower. It's just around, I guess, the uncertainty around investment decisions. But we expect growth in consultancy and growth in our Operations activity as well.
Victoria McCulloch: That was really helpful, David. Just a final one for me and then I'll hand it over, I promise. Do you think your current carbon emissions target goes far enough, given a number of the majors and your customers have set net zero targets?
Robin Watson: Yes. Well, I think it's a good question, Victoria. Yes is the short answer. We were always very clear that we wanted to put a science-based reduction target there and we were also very conscious of a lot of greenwashing going on just now. So we've signed a pledge for net zero by 2050 just for complete clarity. And we've also set ourselves an aggressive carbon reduction target of 40% by 2030. What we didn't want to do was just put a net zero target out there as some companies have done because you can offset and buy your way out of doing anything. There's a practical reduction, if you like, on your own carbon footprint.  So that was a balance we tried to strike. We think it actually double commits us in a way that very few companies have actually done that, committed to a science-based target as well as a net zero target. So we've done both and we'll be applying all our efforts to adhere to both. And net zero, we will accelerate as quickly as we possibly can. We're also quite thoughtful over the course of this year, we'll get some additional science-based framework in place as our thoughts in terms of how would net zero looks like in practical terms. Because I think a lot of companies have just jumped on it, threw a number out there and can buy their way out of it. And that was something that we were very, very keen not to do. So that's why we went with both targets and both objectives.
Operator: And your next question comes from the line of Mick Pickup from Barclays.
Mick Pickup: A couple of questions, if I may. A couple of questions. Just looking at your new operating model, and I'm looking at the margins you've given Consulting at 12.3%, ops at 12.5%. They seem pretty healthy already. Projects is obviously down lower at 5.8%. Can you just talk about where you could think Projects should get to on a normalized basis when there's not issues going on? And ultimately, how does that fit in the mix as Projects recovers and becomes more of the mix as a lower margin business?
David Kemp: Yes. You've done quite a lot of the analysis there in terms of the question. And as we flagged, in 2020, the results in our process and energy division in the Americas were about $50 million lower than they were in 2019. Robin has outlined a range of activities, the actions we've taken to remedy that. And so we'd expect to see some of that coming through in 2021 and getting to a much more healthier position as we move forward 2021, 2022. And so that all relates to projects in our Projects business. And so if we look across the rest of our business, in the EAAA, we had some excellent performance on projects. And in other parts of the Americas, we had excellent performance in the projects. So it really was that process and energy business that brought down the margin in our Projects business.
Mick Pickup: Okay. And then looking at your new breakdown of Consulting, Projects and ops by the end market, some of the smaller businesses looked to me like they're areas where you should have opportunity. So I'm thinking Operations in renewables is only a couple of hundred million today and process and chemicals, Consulting, down that sort of level. Just talk about those areas, some of the smaller areas, how you can grow those?
Robin Watson: Yes. No, I think it's a good observation, Mike. And I think it is one of the reasons we put out a kind of matrix structure. Yes, from an Operations perspective, it's probably the most biased business, as you can tell, to have conventional energy footprint. And we've done less operationally in that space. So we're quite thoughtful about adjacent markets. We've done -- we've already got some water business in Operations. And we're quite thoughtful that we can be doing more kind of maintenance modifications, operational work in water, for example. It doesn't have to be just limited to 1 or 2 contracts in Australia as a traditional footprint there. So the short answer would be, yes, we do see adjacent spaces.  What will decide which adjacent space we enter into will be the relevance of the space and the value that we can extract from a margin perspective. So for instance, offshore wind, we see less of an opportunity there than our traditional, if you like, offshore operations capability, given the prominent role of OEMs in the offshore wind market. Floating ones might be a different proposition, however. But it's relatively immature just now. So we do have some views within -- and I'm just sticking Operations for a second. We do have some views as to the adjacent spaces we see as most attractive. And we certainly have tasked the team with unlocking a broader, if you like, market footprint aligned to where we are strategically across these four basic and fundamental markets there.  From a consultancy perspective, I think you've picked out one that we think is very fair to outgrow, and that's our consultancy and process and chemicals, is one that we see is very attractive. Obviously, our carbon capture and storage, hydrogen, moving from gray to blue hydrogen, biohydrogen, we really are thoughtful. And that's largely -- the march is led there by our consultants. Our consultants tend to be, Mick, from a heritage perspective, our process consultancy people have come from the Foster Wheeler stable. And obviously, a lot of the projects that we do in process and chemicals is also from the Foster Wheeler stable. So it's very well-established, good relationships and actually a real strong track record we've observed from a pull-through perspective in that area.  But you're absolutely right, we do look at it. We do see the biases in the business and we've outlined it, I think, to be as helpful as we can just in kind of transmit. And we're quite excited about some of the growth potential that we have with a well -- a simpler, well-respected service capability across 3 areas, Projects, Operations and Consulting, and then simplifying it across these 4 end markets. So we definitely see some revenue synergy and pull-through opportunities there.
Operator: And your next question comes from the line of Amy Wong from UBS.
Amy Wong: A couple of a couple of questions from me. The first one relates to your medium-term margin target, 100 basis points from the 2019 levels of 8.6%. Would be very helpful if we can get a sense of what medium term means? And then secondly, if you were to build -- you kind of broadly say you've got some mix in there and some cost savings. Could you maybe break down that 100 basis points into how much of it is going to come from mix? And is the cost savings just limited to that $40 million? Or is $40 million just very short term and there's more to come, just to give us a bit more numbers or color around that margin improvement?
David Kemp: Yes. Let me talk to the numbers, Amy. So our Future Fit program is a multiyear program and it covers a number of different elements. So part of it is around the organization. And Robin touched on the change in the organization around Projects, consultancy and Operations as well as our COO function. So part of it is around organization. Part of it is around efficiency. But a number of the initiatives are actually more focused on growth and on areas such as digital and technology. So the $40 million is really the portion that we expect to realize in 2021. And that is largely around efficiency. So most of that is around organizational savings. Some of it is around supply chain savings. And so that will be the first tranche of the benefit from Future Fit and that will obviously help our margin in 2021. And as you've probably seen from the release, overall, we anticipate some modest improvement in margin in 2021, of which Future Fit will help that.  In terms of the overall 100 basis points, we've not split that down into the various elements. But the themes around Future Fit are what's going to drive a significant portion of that, so around efficiency, around how we can better deploy our D&T capability. But equally, we've also flagged to be the change in mix in our business. So if you look at our backlog, we've seen some significant growth in consultancy. And consultancy for us is a higher-margin part of our business. And so we see that mix element continuing to evolve and continue to be supportive to our medium-term target of 9.6%. Robin, do you want to add anything?
Robin Watson: Yes. No, I think, Amy, when we -- obviously, we did our Capital Markets Day in the end of 2019 and we view a strategic cycle as being that 3-, 4-year kind of cycle. So from a medium-term perspective, that was what we were looking at in terms of what we could do with the margin. I think as we all very well know, unfortunately, a global pandemic and kind of negative trading WTI in 2020 has provided real turbulence in our end markets. So I think if you were bridging it, it would be -- effectively, we've lost a kind of 18-month momentum period from an end market perspective. And no matter what we do, and we're very pleased with what we have done in terms of our asset-light model and the cost saving that we've done to protect our margin in 2020, inevitably kind of growing the business and growing the EBITDA margin, we do need the markets to recover and activity levels to pick up. We think we're well positioned to follow that. We'll obviously have a specific bias. We want to see as much of the consultancy business to grow as quickly as possible. It's just kind of almost stating the obvious from an arithmetical perspective.  And to David's point, bridging in the Future Fit program, it is a program that focuses on efficiency, which is part of the kind of in-year delivery from a Future Fit perspective, transformation, which includes, amongst other things, D&T and actually growth. And the growth will require a better market momentum as well as our own positioning within the markets. So that probably -- hopefully, that helps kind of frame it. That medium term, we would always have in that 3- to 4-year period is the way we would look at the medium term versus the longer term versus the short term, if that helps. And obviously, we're very committed to what we've set out as a target there. We've just got to recognize that 2020, for all intents and purposes, I think, for a great number of businesses was a bit of a lost year, given the turbulence that we experienced in our end markets.
Amy Wong: Sure. I'm just going to do a quick follow-up on again that margin profile and the mix going forward. It sounds like Consulting has had a nice, more premium margin, and that's been part of your strategy is to emphasize offering that premium service to your customers. And it sounds like that's a big part of -- with that -- of hitting that margin improvement is going to be maintaining that. So could you give us some ideas of how you -- what is the strategy to maintain that premium margin? What prevents that margin from being competed away, given that energy transition is a very big area where a lot of companies are focused on, on delivering that to the customer base as well? So a bit more understanding of how Wood can maintain that.
Robin Watson: Yes. I think there's a few fundamentals, Amy, that are very helpful. We've got an asset-light model. So we've got levers we can always pull. I think the breadth of end market is really helpful for us. As you know, we don't have a customer concentration, and we don't have that kind of pressure, where you rely on half a dozen customers to provide 60% of your revenue. We're far from that. We've got quite a very broad customer base across a broad range of end markets. I think you're right. I think maybe energy transition, there's -- what is the emerging markets and what's the margin that can be made in the emerging markets, we're always very thoughtful on that. We try and be very selective in determining what value could we add, how can we add it and what margin is to be unlocked, if you like, from the market.  From a consultancy perspective, we think a chunk of our consultancy business, 60%-plus, is a built environment. We do see some fiscal stimulus coming into that world. We do see the commentary -- the broad mega trend commentary is around building better. I think everyone realizes that there's a lot to be done in the built and natural environment. So that's actually, as I say, over half of the consultancy business and it's completely unrelated in many ways to energy transition per se. It is -- as we would argue from a consumption side, if you like, you want cities and urban environments and transportation systems that don't overconsume energy. That's a link we see with it. But it's quite a different marketplace with different dynamics and different customers.  I think I would point to -- traditionally, all things been equal, we have been able to maintain margins, maintain market share and maintain our position across our service range. And our whole bedrock of the Wood reputation has been on repeat business. We got an awful lot of repeat business. And even in the last year, with some exceptions across some of our conventional market, there has not been a great deal of pricing pressure. You need to be competitive enough to win. But I can assure you, our win rate has been in a sweet spot across the 3 business units, Amy. So that again gives us some encouragement that even in tough markets, as I said and what we expect to receive in terms of the services we deliver, is something we've been able to analog and materialize.
David Kemp: Maybe the only thing I would add, Amy, as well is just to recognize the work Consulting business achieved in 2020. They grew their margin by 1.9% in what we all recognize as a really challenging year. And so part of that is around the efficiency changes we made back in the end of 2019. Creating TCS was almost the first step of Future Fit moving to the organization that we have today. So they've done a tremendous job around improving the margin already.
Operator: And your next question comes from the line of James Thompson from JPMorgan.
James Thompson: Yes. I wanted to sort of pull together actually Amy and Mick's questions a little bit, thinking about cash flow. I mean you've done a very good job over the past few years of bringing down the real drags on cash in the business. When I look at the outlook now, I don't think that CapEx interest are going to change particularly. I mean, obviously, you've got the incremental cost on the SFO coming through over the next few years, but onerous leases almost gone now, et cetera. So effectively, the uses on cash are not going to change much more. So it comes down to growth. And what I really wanted to do again is kind of triangulate the sort of margin expansion ambition with the growth opportunities.  With the market coming back here, it feels like there will be more projects work to be. Are you going to sort of resist that lower-margin work, which obviously may well impact on top line? Because it feels like revenue growth here is what's going to drive obviously EBITDA growth and therefore the cash opening up, which is kind of what you talked about in January. Obviously, that's a little bit impaired here. So I just really wanted to pull together, is there enough growth in consultancy if you don't go after this project work as the market improves? Do you need to sort of go for some M&A in bits and pieces here? So maybe just triangulate all of that kind of what you talked about from a sort of cash flow lens would be very helpful.
David Kemp: Yes. I guess there's a number of questions in there. I guess from a cash flow perspective, we've given out some guidance around things like provisions. We expect it to be about $60 million. Working capital, we see being flat to positive, so no longer having that impact of advances. Exceptionals, we see being $135 million, principally driven by $70 million of regulatory payments. And CapEx, we see increasing from 2020 to $115 million, in part driven by our ambitions around digital and technology and further investment there. So we -- I guess, to your point, we're seeing a normalization of the cash flow, albeit the regulatory payments give us an additional exceptional item there.  In terms of the growth ambition, we do have growth ambitions across all of our business. We're not signaling that we have no growth ambitions around our projects. Really, where the market has been in 2020, particularly around the back end, is there has been a lack of activity around projects. It's been a deferral of investment decisions. And we've seen that in our backlog. Some of it has been robust. For example, renewables sits in our Projects business and the backlog there has been relatively robust. Process and chemicals, we've seen a significant runoff.  I think the other thing I would flag -- so fundamentally, we do see our Projects business growing. I think the other thing I would just highlight, we have changed the risk appetite in our business. And we've seen the roll-off and the successful delivery of bigger downstream and chemicals projects. And we've actually lowered our ambition around EPC. We brought in a lower risk appetite. And so that has faded through our business over the last number of years. You can see it in the shape of our backlog. We're 76% reimbursable. Only 2% of our work is in larger projects. But that doesn't mean we've not got a growth ambition for our Projects business.
Robin Watson: No, I think maybe -- if I can add a couple of things, James. To put it in context, the fundamental investment case that we have is we're asset-light and there's a good distribution of OpEx and CapEx revenue-derived investment. But in our business, broadly you've got the enduring, long-term operational contracts that provide us with a real stable backlog and business at scale. You've got the shorter-cycle, higher-esque margin consultancy business. That is in a kind of 9-month -- broadly a 9-month backlog and look-ahead. And then in the middle of the 2, you would have your Projects, where you get superior margins that have been -- a bit simplistic, but superior margins, by and large, than you would typically in your MMO business, but not as good a margin as you get in your consultancy business. So the fundamentals of our proposition and why we're arranged across these 3 business units is -- remains the same.  In terms of what has happened since we acquired AFW, I think to David's point, we're much more discerning in what we bid and what we're willing to take on. To put it in context, we've got 3 projects in the portfolio that are north of $200 million in scale of EPC projects. Actually, one of them is actually reimbursable rather than lump sum. But these projects all run off this year, complete and successfully complete. Again, the danger as we talk -- we talked about the P&E business projects and America has given us some challenges in 2020. It is worth reflecting that probably one of the highest risk projects that you guys would have commented on, in the YCI project, that was successfully concluded, mechanically complete at the end of 2020. So I think the execution capability we have, just building on what we said earlier, is actually quite compelling across the entire portfolio with 1 or 2 anomalies.  2021 is a short-term commentary that we just see investment decisions not being made. And we see projects probably slipping to the right rather than slipping off the table, James, would be the way I would categorize it. But be -- please let us just be really clear, we do see good potential -- good medium-term potential in Consulting, Projects and Operations. And whilst Consulting obviously gives us the highest margin, it also has a lower volume throughput than both Operations and Projects. So we think it's the blend of the 3 that makes the investment proposition compelling, particularly when it goes across these quite focused end markets.
James Thompson: Okay. I mean, I guess, the fundamental question is can you deliver the margin expansion target and the cash flows with it? So hopefully, the backlog improves, and we kind of see that 2022 onwards. So that's it for me. I'll just say I think the reorganization of the business units is actually the right thing to do. Actually, people have been looking for it. So I think that's the right change. And it's good to get that granularity at the revenue level.
Operator: [Operator Instructions]. Your next question comes from the line of Mark Wilson from Jefferies.
Mark Wilson: I'd like to ask on the medium-term margin, following on some of Amy's questions, 100 basis point increase, arguably, some people may look at that and think it seems a bit conservative. 60% of your business delivered 13% margins in the past year. And you point to specific project-related and freak weather impacts in the ASA in America. So improvement in that area is surely coming. So is it, in fact, that the Consulting -- the high-margin Consulting may have peaked at around 13%? And I say that because I know that TCS order book is up 16%, but headcount is down 22%. So are those consultants going to work harder or you need to hire a lot more? Could you speak to that, please?
David Kemp: I think this is something on the headcount. I'm not sure you're picking up a like-for-like headcount. We sold our nuclear business, which was just under 5,000 people. So I think that's part of your analysis, Mark. In terms of -- and nuclear was half of that. So in terms of the margin ambition of 9.6%, we think that is a stretching target for us. We set it out 3 years ago, when our margin was at 8.6%. Our margin this year is at 8.3%. We think we've got the tools to deliver that over the medium term. Part of that is our consultancy margin.  We don't look at it as it's a peak margin. We grew at 2% this year. We're focused through our Future Fit program as to how we can grow it in the future as well. So we don't look at it as a peak margin. And equally, Robin touched on some of the markets -- the market outlook around consultancy, 50%, 60% of the business being in the built environment, which we think has a very encouraging medium-term macro picture. So yes, we don't look at consultancy as having peak margin. Equally, the 9.6% margin, we think, is a stretching target. And we're very focused on achieving it over the medium term.
Mark Wilson: Okay. That's great. And in relation to that, on a medium-term basis, in the investment case, what sort of metrics should we look at for a return to a dividend? Cash exceptionals and provisions and CapEx are going up in 2021. But one imagines that isn't the view for 2020. What sort of returns or balance sheet would you be looking at in order to return to a dividend?
David Kemp: Yes. We obviously took the decision not to pay a full year 2020 dividend. What we've said in the past is consistent with today. We do recognize the importance of dividends to our shareholders. So that is our bias. The decision to resume the dividend is ultimately one for the Board. But as one will reflect on, well, where we are with business uncertainty, we still are in a global pandemic and we still are outside our overall balance sheet target. We have a net debt-to-EBITDA target of 1.5x. We are sitting at 2.1x. So our balance sheet is a bit different than where we want it to be. And there's uncertainty in the market. And it's both of those elements, as we get greater visibility on activity levels, how that impacts our balance sheet will then reflect into our decisions around dividend.
Mark Wilson: Okay. And just one last one. Is there any potential scope for the investigation settlements to change during the year? What are the moving parts there still?
David Kemp: What would you say there? I guess, we are in advanced discussions. We've said what we said about the SFO investigation. We're in advanced discussions. We expect it to conclude before the end of Q2. And so we are approaching the end, but we're not quite at the end. And so there are final approvals that could change things, but that's not our anticipation. We've made a provision today, a further $151 million, so just over GBP 100 million. And we think that covers all our investigations related to the Crown Office in Scotland, the DOJ and the SEC, which we previously provided in 2019, and the SFO. So we do see that as being the final provision. And as I said, we do feel we're getting quite close to the end, but we're not quite at the end yet.
Operator: Your next question comes from the line of Amy Sergeant from Morgan Stanley.
Amy Sergeant: I guess just, one, to talk a bit more about the sort of backlog mix. So just with the new structure, I noted that Projects was around 47% of your 2020 revenues, but the share of backlog is more like 29% currently. How should we think about sort of what's the right level for Projects to be as a part of the total business going forward, given the sort of big swings here? And is there sort of a particular mix that you're aiming for between the three new divisions?
David Kemp: There's not a particular mix that we've hardcoded into things. I guess, we've signaled the general direction. And you've seen that change in direction through the analysis we've given and you've seen in the past years. Our business has moved to being having more consultancy in it and more higher-margin consultancy. Equally, from our market commentary, we've talked about a subdued project environment and project investment decisions. We've seen strength in commodity prices. And we would expect that to be beneficial for investment decisions as we go through 2021. We're not seeing that just now, but -- nor would we have expected to have seen it immediately impacting project investment decisions. So there's not a target. But we've set out we expect our Projects business to start growing as we do with consultancy and Operations as well.
Amy Sergeant: Okay. Great. And then I guess just following on a bit from the question James asked, do you think you have all the capacity that you need in consultancy at the moment? Or is there areas, particularly within M&A perhaps, where you might be looking to add whether geographically or in certain capabilities?
Robin Watson: Yes. We think we've got a good capability, Amy, from a service delivery and kind of market perspective. Consultancy does tend to be kind of global and local. So if we were going to do something, it would almost certainly be a geographic strategic kind of expansion, if you like, of the portfolio. We feel as if we've got a good range of end markets. We feel as if that's quite a good step. So we don't see ourselves launching into 1 or 2 additional end markets. We think we're well-defined in renewables and other energy, process and chemicals, conventional and built environment. So we think that's a good spread for us.  So it will be more geographic from a consultancy perspective. Our built environment business is not wholly but is 80%, 85%-plus North America and Canadian. So there's certainly geographic capability there for us to expand. And to -- from an acquisitive perspective more broadly, that's not a priority, just to echo's David's point. Protecting our balance sheet and operating through organic growth, we see as being the right thing to be doing through -- over the short term.
Operator: We will now take our last question. And the question comes from Michael Alsford from Citi.
Michael Alsford: I've actually got a couple left, if I could. Just wondering, you clearly made great progress in disposals in 2020. Could you maybe just give some color as to whether we should expect any further smaller disposals in 2021? Or is it now more likely to see Wood get back to more of bolt-on M&A opportunities?  And then just secondly, on North America shale, it feels like the public E&Ps are maintaining sort of financial discipline despite the run-up in oil prices, putting more activity in the private side. I know you're not as early cycle as some. But I just wondered if you could give a bit more color as to your customer discussions in the North American shale market.
David Kemp: Yes. In terms of disposals, we've won very small active process just now that is likely to conclude shortly. But it's very modest. We do continually look at our portfolio and keep positions accordingly with no other processes that are running just now. So there's no -- beyond that small disposal, I wouldn't have any expectations in the short term. In terms of going forward, as Robin touched on, we do see portfolio optimization as part of our business model. At the right time, we do want to get back to those bolt-on acquisitions. And we'll do that when we feel comfortable doing it from a balance sheet perspective and having the right targets. In terms of U.S. shale, do you want to...
Robin Watson: Yes. Just in terms of shale, Michael, yes, we're seeing it fairly depressed coming into the year. As you say, there is a pickup in oil price. I think that will sanction some incremental investment. Rig count is beginning to show signs of improving in that regard, but it's from a very low standpoint, as I think everyone recognizes the decline through 2020 quite significantly from our perspective. But it's still material. We still have a pretty material footprint in shale, and we probably view ourselves as one of the go-to organizations that go across the basins. Our prediction would be over the same basins that have activity first, the Permian largely, the blocks just by the economics of it and the infrastructure that's now in place around it. But we're certainly not predictive of a spike in any way in shale activity in 2020 as we're looking at things just now in terms of our opportunity pipeline and the active players there.
Operator: I will now hand the conference back to you for closing remarks, sir.
Robin Watson: Yes. No, thanks for the time today, everyone. That's been again a bit artificial with a recorded presentation. Hopefully, I won't count my chickens, but we may well be doing the midyear in person. But we'll see what happens between now and then. But thanks for the attendance and the questions. Hopefully, that's added a fair bit of color into the results themselves.
David Kemp: Thank you.
Operator: Thank you. That does conclude our conference for today. Thank you for participating. You may all disconnect.